Operator: Ladies and gentlemen, thank you for joining us, and welcome to the Celestica Q4 2025 Financial Results and Conference Call. After today's prepared remarks, we will host a question and answer session. If you would like to ask a question, please raise your hand. If you have dialed in to today's call, please press 9 to raise your hand and 6 to unmute when called upon. I will now hand the conference over to Matthew Pilotta, head of investor relations. Please go ahead.
Matthew Pilotta: Good morning, and thank you for joining us on Celestica's Q4 2025 financial results conference call. On the call today, we have Rob Mionis, president and chief executive officer, and Mandeep Chawla, chief financial officer. Please note that during the course of this call, we will make forward-looking statements, including statements relating to the future performance of Celestica, our business outlook, guidance for 2026, our 2026 annual outlook, and anticipated trends in our industry and their anticipated impact on our business. These are based on management's current expectations, forecasts, and assumptions, including that there are no material changes to tariff or trade restrictions compared to what is in effect as of January 28. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations, and their potential impact on our results cannot be reliably predicted at this time. For identification and discussion of the material assumptions, risks, and uncertainties, please refer to our public filings with the SEC and on SEDAR plus, as well as the investor relations section on our website. We undertake no obligation to update these forward-looking statements unless expressly required to do so by law. In addition, during this call, we will refer to various non-GAAP financial measures. We have included in our earnings release found in the investor relations section of our website a discussion of those non-GAAP financial measures and a reconciliation to the most comparable GAAP measures. Unless otherwise specified, all references to dollars on this call are to US dollars. All per share information is based on diluted shares outstanding, and all references to comparative figures are a year-over-year comparison. Let me now turn the call over to Rob.
Rob Mionis: Thank you, Matt, and good morning, everyone, and thank you for joining us on today's call. We delivered very strong results in the fourth quarter, driven primarily by growth in our CCS segment across both our communications and enterprise end markets. This led to revenue and adjusted EPS both exceeding the high end of our guidance ranges, while adjusted operating margin of 7.7% once again marked the strongest performance in company history. I'd like to briefly review our performance for this past fiscal year. Overall, 2025 was another exceptional year for the company. For the full year, we achieved revenue of $12.4 billion and adjusted EPS of $6.05, representing growth of 28% and 56% year-over-year, respectively. Our adjusted operating margin of 7.5% marked the second consecutive year of a 100 basis points improvement, driven by growth in AI-related demand for data center technologies, strong operational execution, and improved operating leverage. We surpassed our annual outlook for each of our key financial metrics, further building on our positive momentum generated over the last several years. Looking back, our financial results reflect a consistent progression marked by a sustained annual improvement across revenue, adjusted operating margin, and adjusted EPS. As we look ahead, we anticipate the strong momentum to continue with revenue growth expected to accelerate in 2026. Furthermore, our optimism continues to strengthen regarding the significant pipeline of growth opportunities that lie ahead for our businesses, particularly in our CCS segment, which we believe will sustain this growth trajectory in 2027. Before I provide an update on an annual outlook for each of our businesses, I would like to hand the call over to Mandeep to discuss our financial performance during the quarter and our guidance for 2026. Mandeep, over to you.
Mandeep Chawla: Thank you, Rob, and good morning, everyone. In the fourth quarter, revenue of $3.65 billion was up 44% and above the high end of our guidance range, driven by very strong demand in our CCS segment. Our non-GAAP operating margin was 7.7%, up 90 basis points driven by strong margin improvement in both of our segments. Our adjusted earnings per share was $1.89 in the fourth quarter, exceeding the high end of our guidance range and an increase of $0.78 or 70%. Moving on to some additional metrics, adjusted gross margin was 11.3%, up 30 basis points driven by higher volumes and stronger productivity. Our adjusted effective tax rate for the quarter was 19%. And lastly, as a result of strong profitability and disciplined working capital management, we achieved adjusted ROIC of 43%, up 14 percentage points versus the prior year. Moving on to our segment performance, revenue in our ATS segment for the quarter was $795 million, 1% lower and in line with our guidance of a low single-digit percentage decline. The decline in revenue was driven by lower volumes in our capital equipment business and previously communicated portfolio reshaping in our A&D business, partly offset by stronger demand in our other end markets. Our ATS segment accounted for 22% of total company revenue in the fourth quarter. Revenue in our CCS segment was $2.86 billion, up 64% driven by very solid growth in both our communications and enterprise end markets. The CCS segment accounted for 78% of total company revenue in the fourth quarter. Revenue in our communications end market increased by 79%, above our guidance of a high sixties percentage growth, primarily driven by strong demand and ramping programs for 800G networking switches across our largest hyperscaler customers. Our enterprise end market revenue was higher by 33%, which was above our guidance of a low twenties percentage increase, driven by the acceleration in the ramping of a next-generation AIML compute program with a large hyperscaler customer. Our HPS business generated revenue of $1.4 billion in the fourth quarter, representing growth of 72% and accounted for 38% of total company revenue. The strong growth was driven by ramping volumes in 800G switch programs with multiple hyperscaler customers. Moving on to segment margins, ATS segment margin in the quarter was 5.3%, up 70 basis points primarily driven by improved profitability in our A&D business. CCS segment margin in the fourth quarter was 8.4%, an improvement of 50 basis points driven by strong operating leverage. During the fourth quarter, we had three customers that each accounted for at least 10% of total revenue, representing 36%, 15%, and 12% of revenue, respectively. For the full year 2025, we also had three customers that accounted for at least 10% of revenues, at 32%, 14%, and 12% of revenue, respectively. Moving on to working capital, at the end of the fourth quarter, our inventory balance was $2.19 billion, a sequential increase of $141 million and higher by $427 million compared to the prior year, as we support continuing revenue growth in our CCS segment. Cash cycle days during the fourth quarter were 61, an improvement of eight days versus the prior year and was four days better sequentially. Turning to cash flows, in the fourth quarter, we generated $150 million of free cash flow, resulting in total annual adjusted free cash flow of $458 million in 2025, which was an increase of $152 million compared to the full year in 2024, and above our most recent annual outlook of $425 million. Our capital expenditures for the fourth quarter were $95 million or 2.6% of revenue, bringing our total capital expenditures in 2025 to $201 million or 1.6% of revenue. Since we last spoke at our investor and analyst day in October, we have continued our discussions with key customers in our CCS segment in order to align on long-term capacity planning. As a result of these discussions, we are meaningfully increasing the scale and scope of our capital investment plans in 2026 and 2027 in order to build out the revenue-enabling capacity required to support the strengthening demand we see ahead. We now anticipate that our capital expenditures for 2026 will be approximately $1 billion or 6% of our current annual revenue outlook. Importantly, we anticipate being able to fully support this increase in capital expenditures through operating cash flow. The investments we are making in new capacity, which we expect will come online throughout 2026 and 2027, are a response to record bookings, accelerating growth in the scale of our existing engagements, and meaningfully improved long-term demand visibility with our hyperscaler customers. We view our investments in new capacity as highly strategic, aligning our global footprint with the multiyear capacity roadmaps of our key customers in support of their large-scale investments in data center infrastructure and AI capabilities. These investments will include a combination of new customer-driven investments in the United States and upgrades to manufacturing capabilities, including investments in power. We are undertaking significant new investments in Texas in support of growing customer demand for US capabilities in the areas of R&D, manufacturing, and advanced assembly. At both our Richardson campus and new site in Fort Worth, we are adding a total of over 700,000 square feet of footprint with expanded power availability. This incremental capacity is expected to come online in 2027. Also, in order to facilitate greater engagement on R&D and design, we plan to establish a new HPS Design Center in Austin. Our CapEx plans also include large-scale investments in our manufacturing capacity and capabilities across the rest of our global network. In Thailand, we continue to add new capacity to support very strong demand from multiple customers. We are adding over 1 million square feet in additional footprint, with upgrades including expanded power availability, advanced liquid cooling manufacturing, and testing capabilities. We expect this new capacity to come online towards the end of 2026 and into 2027. Elsewhere in our network, we are upgrading and retooling sites to add new manufacturing lines in locations such as Mexico and Japan in support of customer demand for greater geographic diversification, allowing them the flexibility and optionality to de-risk their global supply chains within our network. We are also excited to announce our plans to establish a new HPS Design Center in Taiwan. Overall, we are very encouraged by the strong alignment and close collaboration on capacity planning we have with our customers, which underpins our confidence in making these investments. Turning to our balance sheet and capital allocation, at the end of the quarter, our cash balance was $596 million. Our gross debt was $724 million, resulting in a net debt position of $128 million. We had no draw outstanding on our revolver at the end of the quarter, leaving us with approximately $1.3 billion in available liquidity. Our gross debt to non-GAAP trailing twelve-month adjusted EBITDA leverage ratio was 0.7 turns, an improvement of 0.1 turns sequentially and 0.3 turns versus the prior year period. As of December 31, we were in compliance with all financial covenants under our credit agreement. During the fourth quarter, we received regulatory approval to launch our new normal course issuer bid, which permits us to, at our discretion, purchase up to approximately 5% of our public float until November 2, 2026. We will continue to be opportunistic towards share repurchases as our approach remains unchanged. During the quarter, we repurchased approximately 132,000 shares under our normal course issuer bid for $36 million. For 2025, our repurchases totaled 1,360,000 shares at a cost of $151 million or an average cost of approximately $111 per share. Now moving on to our guidance for 2026, first-quarter revenue is projected to be between $3.85 billion and $4.15 billion, representing growth of 51% at the midpoint. Adjusted earnings per share are anticipated to be between $1.95 and $2.15, representing an increase of $0.85 at the midpoint or 71% growth compared to the prior year. Assuming the achievement of the midpoint of our revenue and adjusted EPS guidance ranges, our non-GAAP operating margin for the first quarter is expected to be 7.8%, representing an increase of 70 basis points. We expect our adjusted effective tax rate for the first quarter to be approximately 21%. Finally, let's review our revenue outlook for each of our end markets. In our ATS segment, we anticipate revenue to be down in the low single-digit percentage range, as growth in our health tech and industrial businesses are being offset by market-related softness in our capital equipment business and portfolio reshaping in our A&D business. In our CCS segment, we anticipate revenue in the communications end market to grow in the low sixties percentage range, primarily driven by ongoing ramps in multiple 800G programs with our hyperscaler customers. In our enterprise end market, we expect very strong growth in the high teens percentage range, supported by the progression in the ramping of a next-generation AIML hyperscaler compute program. With that, I will now turn the call back over to Rob for an update on our 2026 annual financial outlook and to provide additional color on the latest developments in our business.
Rob Mionis: Thank you, Mandeep. Given the strengthening demand forecast across our portfolio, we are raising our 2026 annual financial outlook. We are increasing our revenue outlook to $17 billion and raising our adjusted EPS outlook to $8.75, representing year-over-year growth of 37% and 45%, respectively. This represents our high-confidence view for 2026, which we will continue to refine and update as the year progresses. We are also maintaining our free cash flow outlook of $500 million. This demonstrates the inherent cash-generating power of our business, allowing us to organically fund a significant increase in capital investments while continuing to generate cash to fund other investment opportunities. Since our investor and analyst day this past October, the velocity and scale of awarded programs and growth opportunities for Celestica continue to expand. As Mandeep discussed, we have responded by significantly increasing our capital investment plans in order to grow our global footprint in alignment with our customers' multiyear requirements. These investments are intended to provide us with the necessary scale to support the accelerated growth we anticipate in 2026 and which we believe will be sustained in 2027. In undertaking these investments, we have closely collaborated on demand planning with our largest customers, which has informed our decisions on the location, capabilities, and scale of the new capacity we are developing. These investments are targeted to strategically support our customer base and their program-specific requirements over the long term. On this note, we are proud of our decade-long partnership with Google and are excited to continue supporting the acceleration of leading AI data center architecture. Celestica remains closely aligned with Google on the development of complex data center hardware and systems. As a preferred manufacturing partner for Google's Tensor Processing Unit, or TPU systems, Celestica is committed to making long-term investments in both capacity and capabilities both in the United States and across our global footprint, which includes our planned investments to expand manufacturing capacity in 2026 and 2027. These investments are designed to support the scaling of production for current and future generations of Google's custom silicon TPU systems, as well as leading-edge networking technologies. Based on our latest outlook, we anticipate full-year revenue growth of approximately 50% in our CCS segment, supported by strong demand and new program ramps across both end markets. In communications, demand from hyperscalers is driving strong volumes for our 800G programs, while 400G remains highly resilient. We continue to expect mass production for our first 1.6T switching programs to begin ramping in the latter part of the year. Over the past ninety days, we have continued to add to our pipeline of newly won business in networking, adding to an already robust view of demand into 2027. We are pleased to announce that we have secured the design and manufacturing award for the 1.6T networking switch platform with a third hyperscaler customer. This HPS engagement is expected to ramp production beginning in 2027, with design work already underway. This new program award, along with strengthening demand forecasts from our largest customers and a significant funnel of opportunities, gives us confidence and optimism regarding the growth trajectory of our networking businesses. In our enterprise end market, demand signals remain solid. As anticipated, we saw a meaningful ramp in our next-generation AIML compute program with a hyperscaler customer during the fourth quarter, and we continue to expect that volumes will accelerate into 2026. Looking towards 2027, we continue to anticipate strong demand from our hyperscaler and digital native customers, driven by ramps in next-gen AIML compute programs. Now moving on to our ATS segment, we are maintaining our outlook for revenues to remain approximately flat to up in the mid-single digits percentage range for the full year 2026, consistent with the targets we shared at our investor and analyst day in October. We continue to expect growth in our industrial and health tech business, supported primarily by the ramping of new programs. We anticipate this growth will be at least partially moderated by lower volumes in our capital equipment business in the near term. As we progress through 2026, we anticipate overall ATS revenues to be higher in the second half of the year, led by a recovery in capital equipment volumes as broader market growth tailwinds come into effect. We also expect year-over-year growth to improve as we lap the impact from the strategic portfolio reshaping activities we undertook in A&D during 2025. Overall, we expect 2026 to be another year of progress in the growth and evolution of our business. We are experiencing an unprecedented level of demand, supported by the sustained large-scale multiyear investments from our largest data center customers. We believe our company is uniquely positioned as a critical enabler of the AIML revolution, helping to solve the most difficult challenges in the data center, from advanced liquid cooling solutions throughout the rack to the transition to next-generation networking platforms. It's our ability to deliver these complex system-level solutions that allows us to win new mandates and solidify our leadership in the technologies of tomorrow. Today, our team is intently focused on our operational execution as we scale our global footprint to meet this growing demand. With that, I will now turn the call back to the operator to begin the Q&A session.
Operator: Thank you. We will now begin the question and answer session. Please limit yourself to one question. If you would like to ask a question, please raise your hand now. If you have dialed in to today's call, please press 9 to raise your hand and 6 to unmute when you're called upon. Please stand by while we compile the Q&A roster. Your first question comes from the line of Ruplu Bhattacharya from Bank of America. Your line is now open. You might have to unmute.
Ruplu Bhattacharya: Sorry. Can you hear me now?
Mandeep Chawla: Yes. Hi, Ruplu. Alright. Welcome back. Hi. Good morning. Thanks for taking my questions.
Ruplu Bhattacharya: So it looks like you've taken up both the top line and the bottom line guide for fiscal 2026. If we take the midpoint of the guidance literally, then there seems to be a slowdown coming in the fiscal second half. Also, some loss of operating leverage. I mean, the revenue guidance is 51% year-over-year for fiscal Q1. The full year is 37%, so implying some slower growth in the remaining three quarters. Likewise, in EPS, it's 71% for the first quarter, but the full year is 45%. EPS is definitely growing faster than revenue, and there is leverage in the model. It looks like some operating leverage decline in the remaining three quarters. Can you just clarify for us, is there something specific that's causing this slowdown? Or should investors just chalk this up to conservatism in the guidance?
Mandeep Chawla: Good morning, Ruplu, and first of all, welcome back. We're always very happy to work with you. So thank you for the coverage. Look, we're very confident in our 2026 outlook. And as we said in our commentary and Rob mentioned, it's our high-confidence view. Our customer forecasts right now for 2026 are higher than the $17 billion that we are guiding. And also really nice to see right now is that the demand outlook with our customers is actually extending beyond sometimes our typical four-quarter outlook. You know, similar to past outlooks that we've had, we're taking a pretty pragmatic view. Our views on next quarter and the quarter after that are typically going to be very much dialed in, and we're going to share with you what that visibility exactly looks like. But when we look beyond the two quarters, we're just being pragmatic. We're focusing on securing supply. We have no concerns at this time, but we just want to make sure that the supply base can also ramp as fast as we are ramping. Then we take into account the macro, which, as you know, there's a lot of them. But as we go through the year, we are working towards a higher number. And we'll look to be updating the numbers as we go.
Ruplu Bhattacharya: Okay. Thanks for the details there. If I can ask a quick one about risk management. So, you know, you obviously have a lot of opportunity in both your white box switching business and the custom ASIC server business. One thing you've mentioned is you're increasing CapEx to fund the growth. Can I ask if you're concerned about any potential funding for future AI-related projects? And is there any risk to programs materializing, and have you taken that into account? Also, you've kept free cash flow at $500 million, you know, given that the CapEx is going up and you're probably going to need more working capital to support revenue growth, can you just tell us, like, you know, is there a risk to the story here? And what is giving you confidence to maintain the free cash flow guide? Again, congrats on the quarter. Thanks for taking my questions.
Rob Mionis: Thanks, Ruplu. I'll start off, and I'll let Mandeep finish up. With respect to programs materializing, the build-out that we're doing is based on booked business. We had a record bookings year in 2025, and we're really just building out to support those bookings. So there's very little risk in those programs materializing. They've been in the development cycle right now, and we're doing proof of concepts with respect to validation testing. And they're well underway to ramp in 2026. In terms of risks to the entire story, Mandeep talked about it. We view it more as uncontrollable, like geopolitical risks. Always an opportunity of tightening supply chain, but frankly, our suppliers realize now that we have a lot of leverage these days given our scale. We're also a design agent, which is giving us some leverage in the supply chain. We also have a lot of opportunities, as Mandeep mentioned. Demand continues to well outstrip our ability to provide it in the very short term. We have very strong demand in networking with respect to 400G, 800G, and the 1.6T ramps that are happening later on this year. And on top of this, we have some very strong demand for AIML compute. And within the enterprise market, we're also seeing signs of very significant growth. So overall, we see more opportunities than risks at this time.
Mandeep Chawla: Sorry. Go ahead. We're going to talk about cash generation. Look, we're very comfortable with our ability to invest, and, frankly, we're willing to invest even more as we go through the year. That's what's in front of us. We think we'll generate at least $500 million of free cash flow this year. That's after paying for a billion dollars of CapEx. I know that on the call already are aware of this. We generated positive free cash flow every quarter for almost seven years now. And it's because we are very focused on generating strong positive free cash flow every quarter. And so with the growth plans that we have in front of us, we don't see that being at risk. And, you know, this is even going beyond the fact that we have an incredibly healthy balance sheet. And so we think that we can fund these with cash generation and not have to even use the balance sheet. Thanks for your question.
Ruplu Bhattacharya: Thank you.
Rob Mionis: Thank you.
Operator: Your next question comes from the line of Samik Chatterjee with JPMorgan. Your line is now open.
Samik Chatterjee: Hi. Hopefully, you can hear me. Thank you for taking my question. Maybe if I can start with the CapEx investment and the ramp here. I know you provided us an update at the Investor Day, and you mentioned that activity really ramped with customers again. Since then, engagement did ramp. I'm trying to think, like, when you are sort of going ahead and doing these investments, should we think of this as something that drives revenue in 2027 itself, or are these sort of programs as well as the ramps sort of more to address customer demand in 2028, 2029? Trying to get a sense of what kind of program visibility customers are giving you already to drive this significant investment from you? Just trying to get a sense of that, and I will follow up. Thank you.
Rob Mionis: Hi, Samik. Yeah. The capacity that CapEx that we're investing in now, as I mentioned earlier, is based on booked business. With respect to 2026, we do have the capacity to grow beyond our current heightened confidence outlook. The investments we're making are enabling additional capacity for 2027, and it's 2028 based on booked business. Now as we continue to win in the marketplace, we'll further evaluate our capacity expansion plans, and then there will be an opportunity to expand our revenue outlook for '27 and to '28. But right now, the investments we're making in '26, which also will have a follow-on effect into 2027, is really just on the backlog of business that we have right now.
Samik Chatterjee: Gotcha. Good. Okay. And then maybe for the follow-up, of the outlook that you're sharing for CCS to maintain these sort of strong growth rates into 2027, just wondering, does that sort of incorporate the digital native customer and the ramp with that customer? Any updates in terms of over the last sort of ninety days, anything any updates in relation to either timing or sort of how you think about the magnitude of that in ramp in 2027? Thank you.
Rob Mionis: Yeah. Good morning, Samik. So we are seeing accelerating growth happening within CCS. If you go back to our commentary from three months ago, versus today, you know, three months ago, we were saying that when you break down the numbers, that 2026 CCS would be growing by about $3.5 billion in '26. And then when we put a 40% growth rate on that, it was implying about a $5 billion of CCS growth in 2027. We're now updating those numbers and going off of a higher base. So now what we're implying is that 2026 CCS will grow probably closer to $4.5 billion. So about a billion dollars higher than what we talked about three months ago. And because we're saying that we're seeing a very strong trajectory continuing, we're now seeing CCS grow close to $7 billion in 2027. And that's off of a higher base. And so the demand outlook is very robust. To your question on the digital native customer, that continues to progress just as we would have expected it to. We still expect it to be a meaningful contribution in 2027. We are actively working on the design aspects of the program. And we do believe that that program will still ramp in '27, and that's included in the numbers that we're sharing.
Samik Chatterjee: Great. Thank you. Thanks for taking my questions.
Rob Mionis: Thank you, Samik.
Operator: Thank you. As a reminder, please limit yourself to one question. Your next question comes from the line of Thanos Moschopoulos with BMO Capital Markets. Your line is now open.
Thanos Moschopoulos: Hi. Good morning. Can you speak to how we should think about the margin trajectory just given the mix shift dynamic where you've got enterprise becoming a larger part of the CCS mix? Would that imply that there might be some compression in CCS margins as the year progresses and into '27, or are there offsets to that? Thanks.
Rob Mionis: Morning, Thanos. Yes. We're seeing a tremendous amount of growth happening right now in enterprise. We are really pleased with the trajectory that's already underway. You saw that we had a very nice growth number in the fourth quarter, and that's accelerating as we go into Q1. We expect that program to continue to grow all through 2026. And then just as a reminder, we've already won the next generation of that program. And so we would expect those programs to actually ramp into 2027. So our outlook for enterprise remains very healthy. We are seeing very strong operating leverage, and so we don't necessarily expect a large fixed headwind, if you will, from growing up the enterprise business. We do make more money on networking, in general. But with the leverage that we're getting and the very disciplined cost management, we still think that the enterprise business is going to be able to generate very strong profitability. So for that reason, it's embedded in our numbers. For 2026, we're giving an outlook right now where margins expand by 30 basis points. What I would just say is that that's the floor of our expectations. We would be looking to do better than that, hopefully, as we go through the year. I would also add, Thanos, that networking is also very strong in 2026 and going into 2027. In 2026, we see 400G as very resilient. We see 800G as very strong, and we see 1.6T ramping in the back half of the year. So we have all three major programs running concurrently, which is helping operating leverage and also helping the mix.
Thanos Moschopoulos: Thank you, and congrats on the strong quarter.
Rob Mionis: Thanks, Thanos.
Operator: Next question comes from the line of Michael Ng with Goldman Sachs. Your line is now open.
Michael Ng: Great. Thank you so much for the question. Good morning. My question is just around the CapEx. Encouraging to hear about all the visibility your partners are giving you. I wanted to ask whether the capital intensity in the business has changed at all or, you know, does the $1 billion CapEx support, you know, two to two and a half percent revenue over time, implying a path to $40 to $50 billion of revenue over time. Is that a fair way to think about it? Or has the capital intensity in the business changed at all? Thank you.
Mandeep Chawla: Good morning, Michael. I'm not going to help you back into that number. But I completely understand the way that you looked at it. What I would say is this. We have, in the last number of years, been investing the majority of our CapEx dollars into growth CapEx. We spent probably $70 million to $80 million on maintenance. And that's not going to change very much. And so as a percentage of revenue, we expect that our maintenance CapEx is going to be very predictable and not a huge driver. And so, therefore, the delta is really on growth CapEx. To the point that Rob made, we are making this sizable investment to tie to programs that we've already won that are going to be generating, we believe, material revenue in 2027 and 2028. Should those wins continue, and we would expect that they would, we have no hesitation in increasing our CapEx. You almost want to think of it almost like at a project level. We are building these or making these investments to support specific wins at this time. At a certain point, we would expect the CapEx to moderate because, again, the vast majority of it is growth, so when we get back to a maintenance level, we would be back to what we normally expect.
Michael Ng: Great. Thank you, Mandeep. That's very clear.
Mandeep Chawla: Thanks, Michael.
Operator: Thank you. Your next question comes from the line of Karl Ackerman from BNP Paribas. Karl, your line is now open. Karl, your line is now open. You may have to unmute.
Karl Ackerman: Yes. Can you hear me okay?
Rob Mionis: Yes. Hi, Karl.
Karl Ackerman: Hi. Okay. Hi. Sorry about that. So I know you have deep engagements on the 400G and 800G switch programs, but could you speak to the opportunity you have to address multi-rack scale-up XPU networks such as optical circuit switches and co-packaged optics-based switches, perhaps in terms of the breadth of customer engagements? Thank you.
Rob Mionis: Yeah. Sure. So we see increasing activity and increasing R&D expenditures. Some of it's a little premature to talk about now. But to do more AI, ML, and networking integrated fully integrated systems, both supporting scale-up and scale-out fabrics. You know, based on our proof point, we're our digital native and some other early engagements that we have with other providers, we see this as a major growth driver for our business moving forward. As these AI models continue to grow, and GPU to GPU interconnects become more and more important, scale-up will be as much of an opportunity as scale-out. We see this as a major growth opportunity for us. And we're well underway in capturing a lot of that growth opportunity, and we hope to have more to share with you in the coming months.
Mandeep Chawla: Karl, what I would just add to Rob's comment is that when you look at the 1.6T wins that we've already had to date, they are both being used for scale-up and scale-in. And with the funnel of opportunities that we have in front of us, that diversification continues. And we would expect that we would continue to grow in that area. In addition, I think, the question that you raised on co-packaged optics, we are starting to see conversations with our customers increase in this area. We still believe that in terms of mass adoption, it's going to be more towards 3.2T, which are programs that we're working on in our R&D group. But we haven't seen customers looking for mass adoption of CPO as of yet. And so that's pretty similar to what we said a few months ago.
Karl Ackerman: Thank you.
Operator: Thank you. Your next question comes from the line of Tim Long with Barclays. Your line is now open.
Tim Long: Thank you. Hopefully, you can hear me. I did want to just talk about, you know, a few comments on the call you guys made about new programs and new program wins. Could you talk a little bit about kind of you talked about some strong backlog and visibility and wins, as well as obviously the capacity expansions. You obviously got a lot of large switching and AIML and digital native rack wins. Can you talk about the outlook for the next few years? What we should expect to see from newer programs? Where they could be centered? Would this more be around new switching customers or new applications or use cases from some of the existing customers? Anything you could give us on that would be helpful. Thank you.
Rob Mionis: Yeah. The visibility, Tim, that we're seeing with our customers at this stage is unprecedented. We're totally into '27, and many customers were talking into 2028. Our customers now are viewing us less as a supply chain partner and more as a technology leader. And part of that process is aligning on our technology roadmaps, which is informing our investment decisions. And these investment decisions are enabling and informing all the future products moving forward, and those products are more in the lines of fully integrated rack systems, both supporting scale-up and scale-out. Also staying on the leading edge of switching, 3.2T samples are due probably towards the end of 2026, and we're already starting to work on that. Mandeep alluded to some of the proof of concepts that we have on co-packaged optics, so we're only going to be ready for when that hits the 3.2T cycle as well. So broadly speaking, our portfolio is getting broader and deeper with our customers.
Tim Long: Okay. Thank you very much.
Operator: Your next question comes from the line of David Vogt with UBS. Your line is now open.
David Vogt: Great. Thanks, guys. Can you hear me? So I have a question about sort of the scope of work and the economics of the digital native customer. Can you kind of update us on where we stand in terms of what that looks like as we go into '26 into '27? And then, Mandeep, on the CapEx numbers, that billion dollars, can you help us parse through how much of that growth CapEx is tied to sort of the existing customer base and the expansion of programs and projects with your largest customers versus incremental customers like the digital native or any other incremental customers that you see in the pipeline for '26, '27? Thanks.
Rob Mionis: Yeah, I'll start off. With respect to the digital native customer, we have a very high engineering-driven relationship with our customer. In 2026, we're going to be shipping them largely samples and getting ready for the ramp that should be starting in the early parts of 2027. At this stage of the game, though, the program is on track, we're just getting ready for the ramp, working with them and the silicon provider and all the ecosystem partners. But it's a relationship, it's a solid relationship.
Mandeep Chawla: Yeah. And just to add on to that, in terms of your question for CapEx and how it's going to be allocated, so geographically, now you're aware of how we're allocating it. We're putting in significant investments in areas like Thailand, Richardson, Texas, as well as Fort Worth. And it's really to support multiple customers. And so we are largely investing in programs that we've won across the major hyperscalers. Those are very, we have a high-confidence view. We've worked with these customers, sometimes for well over a decade. With our digital native customer, we are willing to make investments as well. And so some of the investment is going towards enabling the ramp in 2027. I would say the vast majority of the expenditures are tied to programs with our hyperscalers.
David Vogt: Thanks, guys.
Rob Mionis: Thank you.
Operator: Your next question comes from the line of Paul Treiber with RBC Capital Markets. Your line is now open.
Paul Treiber: Yes. Thanks, good morning. Just a question. Just in light of the new program win momentum that you're seeing, can you speak to how the returns and expected returns in those programs compare against existing programs? And really, you know, what I'm going to add is also are you seeing competition changing the returns on new programs versus what you saw in the past?
Mandeep Chawla: Yeah. Morning, Paul. Just to I'll take the first part of the question, and I'll let Rob talk about the competitive intensity that's happening in the marketplace. Look, the approach that we take when we make investments with our customers is really a holistic view. We look at it on a global basis. We want to ensure that we're generating, you know, strong profitability. But more importantly, we want to make sure we're supporting our customers in the geographies that they need. And so we will look at investments at the customer level on a global basis, but, of course, we want to ensure that, you know, specific investments tie out on their own as well. I know you know this, which is we're a very ROIC-driven company. We're focused on strong profitability, but just as much we're focused on a very disciplined level of investment. And so we'll make sure that business cases hold. And so from a returns perspective, what I would just say is that we continue to focus on expanding our ROIC, continue to focus on expanding our margins while generating very strong top-line growth. And so those are always factors whenever we're looking at business cases.
Rob Mionis: In terms of competitive intensity, I would say as time goes on, the programs that we're bidding on and winning are becoming more and more complex. In many cases, some of the business that we decided not to play the pricing game on in 2025 have come back to us in 2026 because others could not execute on it. So when we look at our, you know, competitive moat, we have some fantastic engineering to be able to design these complex products. But even more so, very few of our competition can produce these products at scale. And when you combine those two together, it's really giving us a lot of tailwinds in '26 and also moving into 2027. That combination has proven to be very powerful for us.
Paul Treiber: Okay. Thank you for taking the question.
Rob Mionis: Thank you.
Operator: Your next question comes from the line of Ruben Roy with Stifel. Your line is now open.
Ruben Roy: Thank you, Rob. Maybe we can follow up where you left off there. And I had a question on the 1.6T win, the new win at a new hyperscaler. Are you seeing a shift towards HPS, design-led solutions and away from cost-plus? You've got the design center that you talked about in Austin. Just wondering if that's something that's happening as you move towards these more complex switching technologies and how you see that playing out from a margin perspective as you think about the 2027, '28 time frame? Thank you.
Rob Mionis: Yes. Certainly, thanks for the question. At 1.6T and even as we move into 3.2T, the complexity that's required, the engineering complexity that's required on these things is moving more towards HPS engagement. So on the networking side, we see that increasing over time. And the density and the complexity is only going to increase at every node. On the AIML compute side, we like to play really on the HPS and the JDM design-oriented AIML compute. We also see that as that gets more and more sophisticated, there'll be more opportunity for us to play in that area, and we have several projects in the pipeline to improve those engagements on the HPS side as well.
Ruben Roy: Great. Thank you.
Operator: Thank you. Your next question comes from the line of Steven Fox with Fox Advisors. Your line is now open.
Steven Fox: First of all, congrats on reaching the point where people are complaining about 37% growth. Thought that was great. In terms of my question, there's been a bunch of confusion around with your largest customer. How the supply chain works on those AIML compute programs and where you're sort of positioned versus, you know, there were other suppliers. Can you just sort of clarify, you know, how you're playing there? You know, what kind of competition you see? And then it looks like you're also expanding directly to support some more programs on that. So anything on that would be helpful. Thank you.
Rob Mionis: Certainly. Yeah. I would chalk this up to you can't believe everything you read. What I can emphatically say is that our partnership with Google has never been stronger or more integrated. We have absolutely no indication there are new entrants into that market. As you know, these are very complex products to manufacture, especially at scale, and we have been doing it for a very long time with this family of products. As a preferred partner with Google on these leading-edge compute programs, we have a joint commitment to each other moving forward, not just for the current generation but for future generations of their TPUs. And, you know, we've been supporting this technology for generations, and we hope to continue to do so going well into the future. Which is why I think a portion of the investor report. And I would also add that the class expansion that we're making certainly is in support of Google, but it's also in support of growth from other hyperscale and digital native customers.
Steven Fox: Great. Thank you very much.
Operator: Thank you. Your next question comes from the line of John Chao with TD Cowen. Your line is now open. Please go ahead.
John Chao: Yes, good morning. Thanks for taking my question. So within your guidance, how much do you bake in the price increase of key components or materials? At this point, are you still comfortable with the supply chain? Do you think this is going to be any source of potential margin compression given, right now, we're getting this inflationary environment in the supply chain? Thank you.
Mandeep Chawla: Yeah. Good morning, John. So we factored in inflation and pricing into the numbers that we've already shared. Just as a reminder to everyone on the call, when we have networking, we have it on a turnkey basis, which is our typical approach, meaning it includes the silicon. Where on the compute side, it typically does not. So where there is a lot of price inflation that's happening on the silicon side, you're not going to necessarily see our growth in our enterprise numbers being driven by that. On the networking side, we're growing in terms of overall volume. But, yes, there is inflation happening on the silicon side, which we're able to pass on to our customers. And so are we seeing margin compression? No. Not right now. But if silicon becomes a much larger part of the filler material, then perhaps it will, but that's not in our line of sight at this time. But there is a little bit of contribution in our revenue growth year-over-year coming from just the fact that ASPs are going up. But the vast majority of the growth is due to units.
John Chao: Thank you again.
Operator: Thank you. Your next question comes from the line of Todd Coupland with CIBC. Your line is now open.
Todd Coupland: Great. Thanks. Good morning, everyone. I wanted to ask about the 1.6T programs in the second half of the year. And at this point, what are the range of outcomes and gating factors for those programs to start to ramp this year? Just talk about that a little bit. Thank you.
Rob Mionis: Yeah. We have 10 active 1.6T programs in the pipeline right now. And about five of them will start ramping in the back half of the year and so into 2027, and several of the balance of them are in the development pipeline and will be ramping later in '27 into '28. The gating factor is really just completing the development cycle as planned, and things are on track. Silicon is on track, so I just think it's business as usual in terms of supporting our customers around.
Mandeep Chawla: I'd just like to maybe add to that. When we look at our overall switching demand that's out there right now, what we're really encouraged by is there's been a tremendous amount of growth happening in 800G that happened in 2025, and that's continuing in 2026. And 400G continues to hold. So 400G will be a strong contributor in 2026, 800G will continue to grow. Then you've got 1.6T coming on as well towards the end of the year. And so the dynamic that's really been playing out in the last couple of years is that the next-generation technology is not necessarily cannibalizing the previous generation. And so this is one of the reasons that we have a lot of optimism in the networking space, exiting '26 even and going into '27.
Todd Coupland: Thank you.
Operator: Your next question comes from the line of Atif Malik from Citi.
Atif Malik: We got a couple of questions from investors on this yesterday. Your press release, you called out Google or TPUs as the preferred manufacturer partner versus sole source? Is that a new disclosure? And then just as a follow-up, if some of your hyperscalers were to adopt more TPUs, do they all go through you guys, or are there other entities like Broadcom and others that can participate in the CPU rack or trade business?
Rob Mionis: On the first one, no. I don't think it's a new disclosure. We're not sole-sourced or single-sourced on the TPU programs, nor have we, frankly, nor have I think we've ever said that. For BCP purposes, most, if not all, of our hyperscaler customers remain a second source. But we are the primary source for them on the TPU programs and continue to do so. With Google and with all of our hyperscalers, share is largely awarded on performance. Our performance has been very strong, and as a result, they make the decisions accordingly.
Mandeep Chawla: And then to the question that you were raising about as Google's TPU gets adopted beyond just Google itself, how does that play out? Right now, our view is that that increased level of demand for their types of products will flow through their supply chain. And as their preferred manufacturing partner, we would expect to be able to support that. With that. And so right now, it's wonderful to see that their product is being adopted in the marketplace. And we do expect to be able to support them with that growth.
Atif Malik: Thank you.
Operator: And your final question comes from the line of Robert Young with Canaccord Genuity. Robert, your line is now open. Robert, your line is now open. You might have to unmute.
Robert Young: Hopefully, you can hear me now. On the third hyperscaler, 1.6T win, how was this one? Was it an extension of 800G? Was it tied to your Tomahawk ASIC experience? And, like, is it part of a rack integration with another outside vendor, or is that being done by the hyperscaler? Just some context around that. And then if you could also talk about how you expect operating margins to evolve as you move into 1.6 terabytes programs and how that might differ between, I think you have two full rack and then two standalone if I understand the large programs. Now how would the margin structure differ and evolve?
Rob Mionis: Sure. Hi, Rob. Yes. On the third 1.6T, so with this hyperscaler, we were a predominant share on the 400G. We were a predominant share and won on the 800G, and this is just an extension of going to the 1.6T. The engagement started with a design win. They were happy with the performance with this switch based on the 400G to 800G. And we were awarded the mass production for this switch as well.
Mandeep Chawla: And then in terms of the margins, Rob, good morning. What I would just say is that we approach our switching portfolio in a similar way as we go into the next generation. We typically make more money during the ramping and the development cycle of a program, and then as it gets to mass production, we try to offset that pricing with operating leverage. And so we do expect a 1.6T program to be, you know, as profitable as we've seen on some of our past switching programs. But one interesting dynamic, though, is that more and more of our switching portfolio should be moving toward the HPS. We have some of our switching portfolio today in EMS, just typically as we embed more of our engineering, that leads to better printing. And so we are happy with the way that the margin profiles look like for 1.6T products.
Robert Young: And is there any context on between the full rack deployment and standalone?
Mandeep Chawla: Yeah. It's integrated. And so we take a look, whole holistically when we are doing this for our customers. We guys, as you mentioned, it's integrated, so there's 1.6T switches, but then it's also compute, and then there's the integration activities where we do testing for them. And then at certain points, we may be able to do services as well. We look at it on a holistic basis, you know, and we ensure that the value that we're bringing on the switching side, which has the most engineering that we have, is getting captured in the overall price.
Robert Young: Yeah. Thanks.
Rob Mionis: Thanks, Rob. Thank you, Rob.
Operator: Thank you. There are no further questions at this time. So I will now turn the call back to Rob Mionis, CEO, for closing remarks.
Rob Mionis: Thank you, and thank you again for joining us this morning. 2025 was an exceptional year for Celestica, characterized by record financial results. We're excited to build on this momentum in '26, and as we raise our annual revenue outlook to $17 billion, the strategic investments we are making provide us with the capacity to support our customers' multiyear AI roadmap, and our deep partnership with industry leaders like Google and our expanding global footprint in Texas and Asia reinforces our confidence that our growth trajectory remains strong into 2027 and beyond. We look forward to updating you on our continued progress next quarter, and thank you again for joining the call.
Operator: This concludes today's call. Thank you all for attending. You may now disconnect.